Operator: Welcome to the Second Quarter 2020, Cedar Realty Trust Earnings Conference Call. As a reminder, this conference call is being recorded. At this time, all audience lines have been placed on mute. We will conduct a question-and-answer session following the formal presentation. I will now turn the call over to Nicholas Partenza. Please proceed.
Nicholas Partenza: Good evening, and thank you for joining us for the second quarter 2020, Cedar Realty Trust earnings conference call. Participating in today's call will be Bruce Schanzer, Chief Executive Officer; Robin Zeigler, Chief Operating Officer; and Philip Mays, Chief Financial Officer. Before we begin, please be aware that statements made during the call that are not historical may be deemed forward-looking statements, and actual results may differ materially from those indicated by such forward-looking statements. These statements are subject to numerous risks and uncertainties, including those disclosed in the company's most recent Form 10-K for the year ended 2019, as updated by our subsequently filed quarterly reports on Form 10-Q and other periodic filings with the SEC. As a reminder, the forward-looking statements speak only as of the date of this call, August 10, 2020, and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures, including funds from operations and net operating income. Please see Cedar's earnings press release and supplemental financial information posted on its website for reconciliations of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to Bruce Schanzer.
Bruce Schanzer : Good evening and thank you for joining us for Cedar Realty Trust Q2, 2020 earnings conference call. Before moving to my prepared remarks I would like to take a moment to sincerely thank my colleagues both on team Cedar and on our board of directors. This period has been one that we as a nation will all remember for a long time to come. It is truly generation defining. For our company in particular it has been a defining experience as well. I have seen the best in my teammates during this period from my kitchen cabinet colleagues to our most junior people and I couldn't be prouder and more excited about their efforts and accomplishments during this trying time. Remarkably, in what can only be characterized as truly setting the tone from the very top Cedar's independent directors at the outset of the pandemic waived their board fees for the second quarter and decided last week to similarly waive their fees for the third quarter. I know I speak for all of my colleagues and thanking them for their guidance, support and leadership through both word and deed during this challenging time. Charles Dickens famously begins a Tale of Two Cities, it was the best of times, it was the worst of times. It was the season of light and it was the season of darkness. I have thought of this line often over the last four months as we have seen the best in our people and observed the defensiveness of our portfolio while experiencing the unpredictability of the capital markets and witnessing the utter dislocation of our common stock price from its underlying asset value. On a daily basis I am never sure whether I should be relieved our assets are so resilient or astounded that our stock price doesn't reflect this remarkable fact. A good friend of mine often teases me for being too optimistic. I have learned over the years it is a common trait among CEOs and I will confess that in reflecting on [indiscernible] dichotomy between our strong performance and our weak share price. I choose to be excited that the incredible durability of our assets and the professionalism of my battle tested teammates suggests the future of Cedar is bright indeed.  When the pandemic began we immediately formed a 12-person cross-functional crisis management committee that has performed with great intensity and considerable success. The members of that committee along with our colleagues throughout the organization have pushed themselves incredibly hard and have squeezed everything out of our assets which shows in our consistently strong results through each COVID critical month of the second quarter. Notably, we have continued clawing our way back with over 80% cash collections in June and over 88% cash collections for July. Phil and Robin will expand on our collection efforts, forbearance process and accounting treatment in their prepared remarks. I am very proud that this performance has placed us among the best performing shopping center REITs in terms of collections during the second quarter and through July. While the COVID chapter may evoke aspect of a Tale of Two Cities at Cedar it has really been a tale of one company. The professionalism, dedication and unified effort demonstrated by Cedar professionals throughout our ranks was critical to obtaining the results we achieved this quarter and to-date. In addition to the strong collections during the pandemic while announcing that we have slowed the capital spend on our redevelopment, we also announced the significant redevelopment milestone in finalizing a 20-year build to suit lease with the district of Columbia a AAA credit tenant for a 260,000 square foot office building including street level retail that will anchor and be the first phase of our northeast heights redevelopment project. This is a huge win for the redevelopment team led by Robin and I will ask her to expand on this lease in more detail. I will note two things however, first this lease represents an extraordinary value creation event for Cedar today even before the building is constructed. And second, this is not a retail asset and therefore helps to diversify Cedar's prospective rent stream into another asset class. Coupled with the strong relative performance on the asset side we have found our bank group to be remarkably constructed during the pandemic. A perfect example is their agreement last week to tweak some of the definitions in our credit facility thereby giving us greater breathing room on our covenant and borrowing base. Over the years we have found our bank group led by Keybanc to be terrific partners and we especially appreciate their professionalism and support during this once-in-a-career type of experience for all of us. Bill will spend a little more time on the credit facility modification that we just closed. And with no rest for the weary we have now begun to focus on our upcoming term loan maturity in February taking a step back and looking at what we have done over the past nine years with the balance sheet, it was essentially renovated for precisely this sort of situation. First we have taken care to stagger our maturities so that we do not have too much debt maturing in any one year. Second, we have largely unencumbered our portfolio in order to give us the flexibility to be able to explore a number of financing alternatives in a stress scenario such as the one we are in now. One thing to note more generally is that in addition to debt alternatives we are also actively marketing a number of pad sites and anticipate generating roughly $20 million of relatively low cost capital from those asset sales that will help us reduce debt a bit as we bear down on the term loan refinancing efforts in the weeks ahead. During this remarkable time as we have been challenged in ways we could never have imagined both personally and professionally I have continually reminded myself that this period of stress to our business will come to an end. Recessions such as the one we are in presently offer dangerous traps for management teams to make rash decisions that lead to irreversible value destruction. However, they also present opportunities for reinvention by companies that had lagged before a recession into companies that lead coming out of it. I believe Cedar might experience such a positive reversal of fortune especially since this recession appears to have catalyzed a meaningful societal shift both in terms of where people live and shop as well as how they live and shop and as it relates to Cedar this isn't just a CEO being optimistic. Our relatively strong performance over the past four months is not an accident or a fluke; rather it is a combination of our highly organized and effective crisis management protocol as well as an outgrowth of these accelerating market trends we are all observing and experiencing. For example, as you all know Cedar has a predominantly grocery anchored portfolio with among the highest percentage of grosser anchored centers of any retail REIT. This is a critical feature that has helped insulate us during the pandemic and will serve as a foundation for our portfolio in the years ahead. What you might not appreciate is that we have among the most e-savvy grocer anchors in our shopping centers of any shopping center REIT. In other words, more of our grocery anchors have evolved their e-commerce businesses organically as opposed to outsourcing this function thereby capturing margin and market share while positioning themselves better for the future. This online foundation helped our grocers pivot relatively seamlessly to meet the overnight changed needs of their customer base while maintaining a healthy and uninterrupted stream of customers at our centers. Moreover, we have among the lowest exposures to at-risk retail tenants of any retail REIT thereby insulating us on a relative basis against the continued secular decline in retail. Lastly, we have among the lowest exposures to MSAs with negative employment trends and prospects thereby increasing the chances our tenants will continue recovering as the pandemic recedes into the past since their surrounding economies are better performing. In other words, as the world is changing rapidly right before our eyes we find ourselves in a remarkably solid position to benefit from some of the secular trends continuing to take hold in our industry.  All that said I will conclude my comments with something that I have often told shareholders and prospective shareholders when discussing Cedar over the years. When you invest in Cedar you are truly partnering with me and my colleagues. Speaking for myself I have a very significant portion of my net worth invested in Cedar stock and I have invested funds continually into our stock over the years rarely selling any stock. The collapse of our stock represents a loss for our shareholders and I as a shareholder and right alongside you. As significantly I can assure you that my colleagues and I are working tirelessly probably harder than many of us have ever worked in our professional lives and certainly with greater intensity and focus to navigate the company through this perfect storm and thereby drive a recovery in our share price. This is a responsibility we take incredibly seriously as it is a challenge that is both professional and personal. However, as I have already described I am highly optimistic that we will be successful.  With that I will keep you Robin to discuss our operations and redevelopment projects. Robin? 
Robin Zeigler: Thanks Bruce. Good evening. The other day my daughter said to me that in the future she predicts that there will be a college course studying the events of 2020 and she may actually be right. This year we have seen no less than the COVID-19 pandemic and the resulting global economic shutdown, the black lives matter protests and resulting social unrest, travel bans and last week a hurricane with major power outages in the northeast. Our operations team with ultimate professionalism and selflessness has had to deal with the impact of each of these challenges at our shopping centers and has done so with a keen focus on the benefits to Cedar and its shareholders as well as the communities we serve. Due to our portfolio's essential retail merchandising mix and grocer anchors all of our shopping centers remained open during the COVID pandemic. While some small shop tenants were closed temporarily during the shutdown, the shopping centers in which they were located remained open. We then closely followed each jurisdiction's reopening criteria by retail use and worked with our tenants on reopening strategies which included providing operating assistance, social media and marketing guidebooks and assistance. During the shutdown and reopening process we simultaneously reduced common air expenses and capital improvements to the minimal level needed to sustain operations. We launched a curbside pickup program at 13 centers strategically selected to allow for socially distant sales transactions for both retailers and restaurants that have been favorably received by our tenants. Additionally, we initiated a program whereby we provided PPE and food to first responders in conjunction with our restaurant tenants. The property management team also worked with key restaurants to create outdoor seating to ensure profitability due to limited indoor capacity rules for restaurants. During these difficult times we have made especially certain our tenants know that their landlord is supportive and is there to partner with them through these times. This type of management becomes particularly relevant when it is time for renewal or when a tenant is deciding to open more stores. Another essential prone to pandemic crisis management has been extending rent deferral to our tenants. As I believe was laid out during last quarter's call our general terms for deferral were as follows; for local and mom-and-pop small shop retailers that qualified for deferral upon our review of their financial situation we generally offered two to three months of deferred rent with payback over 12 months beginning January 2021. For national small shops and anchors we offered two to three months of deferral with payback over six months commencing July, 2020. We studied the lease of every tenant in the portfolio to determine if there were lease provisions we would like amended and deferral terms were negotiated in exchange for these provisions when applicable. At times we modified the standard deferral terms to a more customized solution to accommodate the objectives of securing certain lease amendments. For example, in limited instances rent was waived instead of deferred in consideration for obtaining relief from an unfavorable lease provision or in exchange for an exercise of an option or for additional terms. As of June 30, 2020 we executed 92 tenant assistant agreements, 74 deferral agreements totaling $2 million of base rent in the second quarter for 630,000 square feet. Notably 94% of the tenants who received rent deferral in the second quarter have paid their July rent. Similarly 18 deals were executed during the second quarter that waived rent totaling $400,000 for 206,000 square feet. Of those tenants who received waivers, 84% of the tenants whose rent was waived paid rent in July. Additionally, there are still 30 deals totaling $1.1 million in rent that are in negotiation for deferral and 29 [person] of the July rent in this category has already been paid. The top three deals within this category of deals that are still in negotiation are related to LA fitness locations throughout our portfolio, the Planet Fitness at Quartermaster and Regal Theater at Revelry. These deferral negotiations are either tied to the redevelopment project or provide us flexibility given the uncertainty surrounding the fitness and movie industries post-COVID. Our collections during this quarter have continued to be particularly strong. Cash collections in April, May and June were 76%, 76% and 81% respectively resulting in a 77.4% collection rate for the quarter. This positive trend has continued with 88% collection of our monthly charges in July. Well I certainly may be biased and extolling the effectiveness of our team and the process that we put in place to deal with collections, I am certain that the one-on-one very hands-on approach that we employed with each and every tenant had a positive effect. That being said undoubtedly our merchandising makeup is a key as well. Bruce mentioned that the fact that we have a largely essential retail portfolio but let's parse through that a bit. Our total annualized base rent is $102 million. $29 million of that or 28.5% is from grocer anchors with a collection rate of 99.7%. $7.1 million comes from fast casual restaurants with a collection rate of 77%. $5 million comes from dollar stores with a collection rate of 90%. Medical facilities make up $4.6 million of our rent with a collection rate of 75% and discount department stores comprise $4.5 million with a collection rate of 81%. These are just the top five but I think the trend is apparent. All of these leases prove to be relatively COVID resistance. Other essential uses that permeate our portfolio such as banking, drug stores, home improvement, government office liquor stores and automotive all had collection rates over 95%. Related to second quarter 2020 leasing performance we signed 21 leases totaling 182,300 square feet, 17 renewal totaling 170, 000 square feet at an average rent of $9.77 with a positive spread of 2.6% and 4 new leases at an average base rent of $22.60 per square foot with a negative spread of 30%. This results in an overall comparable leasing spread of negative 3.9%. Of note this quarter during the pandemic Petsmart and New London Mall was renewed and options were exercised with Acme academy plaza and Food Lion at Yorktown. The negative leasing spread is primarily attributable to two small shop deals at our redevelopment properties which fill long-term vacancy and provided early termination rights were applicable. At the outset of the pandemic we articulated three simple directives to the team, maximum cash inflow minimize cash outflow and do not lose any tenants as a result of the mandatory closures. The renewals I just referenced as well as these two deals demonstrate this idea as we are focused more than ever on maintaining occupancy at our centers but our overarching missions remain to do deals that make sense economically taking into account credit risk. As of June 30, 2020 our current lease occupancy is 90% which is a 180 basis point reduction from prior quarter. This decrease is principally related to the closure of A.C. Moore at The Point and New London as well as the bankruptcy of 24-hour fitness at Carmen's plaza. We are actively seeking backfills for all three locations. Last quarter we discussed that we have reduced our capital spend in 2020 for our mixed-use urban redevelopments and value-add renovations to a level of approximately $20 million. This development budget remains unchanged as of the second quarter. That being said the developments construction and leasing team remain hard at work. Fishtown crossing is progressing nicely. Starbucks has been delivered and Gamestop and Nifty 50 are scheduled to deliver in August. The IGA grocery store facade renovation will commence this fall. A lease has been executed with the original Hotdog factory who will now be joining the tenancy. Some of you may have heard of this fast casual restaurant as its owner is in the cast of the House of Atlanta and Fishtown crossing will be one of their first Philadelphia locations. Post quarter end north Northeast Heights benefited from a significant boost with the execution of a 260,000 square foot office building including street four retail to the district of Columbia, department of general services. This government agency is comprised of more than 700 skilled professional employees with expertise in the areas of construction, building management and maintenance, portfolio management, sustainability and security at district owned properties. This office building will be part of the first phase of Northeast Heights and the employees and related services will provide a strong demographic as a daytime traffic driver for the remainder of Northeast Heights. The accretive deal structure over a 20-year 10-month term is based on a net rent of $22.52 per square foot and a gross rent of $56.43 per square foot which includes a TI amortization of $14.9 per square foot. Our ability to be the winning recipient of this competitive RFP process was largely based on relationships filled with leadership throughout the district as well as community relationships significantly being awarded this deal truly exemplifies the district's overall support of the Northeast Heights project and their commitment to the revitalization of downtown ward 7 for which we sincerely thank them as to the residents of ward 7 who will be the beneficiaries of this building and project. Our team is busy. Our team is focused. These are difficult times and we are up to the challenge taking each situation, navigating through it, solving problems as they arrive and all the while ultimately always seeking ways to create value for our shareholders and the communities we serve.  With that I will give you Phil. 
Philip Mays: Thanks Robin. Before discussing our operating results and balance sheet I want to first provide insights and details related to our revenue recognition for the quarter. I think the best way to do this is to walk through each of the various revenue components along with their related accounting treatment. For this discussion let's set aside non-cash items such as straight line rent and the amortization of intangible leases and just focus on tenant billing. Our total tenant billings for basement and recovery combined for the quarter were $33.6 million. During the quarter we collected and recognizes revenue $26 million or 77% of these billing. Additionally, we recognize this revenue another $3.3 million or 10% that we determined to be collectible consisting of $2 million for which we have signed deferral agreements and $1.3 million which is either an advanced negotiation for a deferral agreement or we otherwise believe will be paid. Accordingly combining the 77% collected with this 10% determined collectible and accrued we recognize this revenue $29.3 million or 87% of our total billings for the quarter. Moving to the $4.4 million or 13% we did not recognize. This consists of $4 million that is not paid by tenants that we have determined at this time should be accounted for on a cash basis and $400,000 we have agreed to waive for this quarter. Be clear just because we have placed certain tenants on the cash basis this does not mean that we will not collect anything from them. While some cash basis tenants may fail we expect many of them will simply make inconsistent payments or partial payments which we will recognize as revenue when received. The preparation of financial statements always requires estimates to be made. As always our leasing team, asset management, property accounting, lease administration, property management and collections all work diligently together to make our estimates for the quarter. Estimates by their very nature are not 100% precise and only the passage of a year or more will ultimately determine the precision of the estimates we have made related to the pandemic. However, based on attendance that paid written July at least initially appears our estimates for the quarter were prudent and done with good judgment. Moving to operating results. For the quarter operating FFO was $5.7 million or $0.06 per share. This reflects the $4.4 million of billing as discussed that were not recognized as revenue and the write-off of $1.2 million of straight-line rents and $500,000 of accounts receivable from prior periods both related to tenants that were placed on the cash basis during this quarter. Same property NOI decreased 14.6% over the comparable periods in 2019 excluding redevelopment properties and decreased 19.7% when redevelopments are included. The larger decrease including redevelopments was primarily driven by non-payment of an existing gym and theater anchor at these properties. Moving to the balance sheet. We did not sell or acquire any properties during the quarter. However, after the quarter we did have several noteworthy balance sheet activities. On July 9, we sold Metro Square for $4.3 million. As you may recall in the previous quarter we negotiated a termination agreement with the dark anchor this property and received a $7.1 million early termination payment. The sequence, the dark anchor termination and the subsequent sell of the property in this manner as we determined it was the best way to maximize proceeds instead of simply selling the property with the dark anchors still in place. On August 4, we admitted our unsecured revolving credit facility and term loans to compute both financial ratios and our borrowing base using the trailing four quarters as opposed to the current quarter annualized to also exclude interest rate swap liabilities that are a hedge of existing debt from the definition of debt. Further on August 7th we repaid $70 million of borrowings under our revolving credit facility after which we had $74.5 million of availability under this facility and $4.5 million of unrestricted cash. One final note. We did include an additional disclosure our supplemental financial information filed earlier today. our schedule of base rent and GLA by tenet category provided on page 17 now also includes cash collections for each of these tenant categories. During this pandemic we are starting to be as transparent as possible about our portfolio and our operations and hope you find information contained in our press release, financial supplement and prepared remarks today to be informative and helpful. With that I'll open the call to questions. 
Operator: Thank you. At this time we'll be conducting a question-and-answer session. [Operator Instructions] Your first question comes from the line of R.J. Milligan with Baird. Please proceed with your question. 
R.J. Milligan: Hey good afternoon everybody. Obviously pretty strong rent collections in July at 80% Robin I appreciate you sort of running through the different buckets but is there a way that you could just bucket the additional 12 versus working on deferrals or expectations that rent won't be paid?
Robin Zeigler: Yes. Thank you R.J. So the way that we are looking at it is really focusing on the different types of tenants and based on the essential retail mix that we have and the level of collection that we have in July and even so far in August, the types of the collections that we have so far we think that we will have that level coming into August as well and Phil can kind of talk to you about how we have bifurcated the portfolio. I think he went through that a little bit in his comments based on how we typically forecast and how he have forecasted now based on tenants we have paid rent historically through COVID and tenants that we think will not pay based on what we've seen and that's how we've kind of bracketed out the bucket.
R.J. Milligan: Okay so is it fair to assume that, go ahead Phil. 
Philip Mays: Hey. Yes. So a lot of the increase the majority of it was related to tenant the 2 million that we did deferral agreements with I think Robin said the numbers about 95% of them paid in July. So that's a lot of increase and then it's that plus some of the cash basis guys didn't pay as we expect them to make partial or periodic payments. Some of them paid and then they're out of the ones we are negotiating their current agreements with I believe about a third of them already paid July also. So it's primarily driven by completed deferred agreement along with a little bit from each of the other buckets that Robin talked about.
R.J. Milligan: And then so what's remaining in the 12% that's uncollected?
Robin Zeigler: So I was going to say some of that is going to be, we talked about the rent that was waived and then some of the tenants are, tenants that we feel won't pay whether it's or categories that we're questioning whether they're going to pay whether it's the some of the fitness centers, some of the movie theater. We have one movie theater that we're negotiating with that we talked about. Some of those categories that we -- that were AR issues prior to COVID that we're we just put a handicap on those so we're just being a little bit conservative in our treatment of that. So those are what's left in that last bucket. We kind of went through their tenant by tenant and said and some of those are ones that we are still negotiating with but we're just not all together positive as to how they're going to perform long term like the Chinese buffets and such that are more challenged in the COVID as far as how they can perform. So that smaller percentage we're just putting an extra handicap and being extra conservative on.
Philip Mays: Hey R.J. it's Phil again. If you look at page 17 in our supplement it's got all the categories and it's got the specific-based rent they make up plus their collections. The 12% you can see it's by the lowest paying category then there is what's driving the remaining 12% which Robin mentioned was primarily fitnesses and in the theater we have but if you go through there and you look at the lowest 3-4 categories that's what's driving the 12% that's remaining.
R.J. Milligan: Okay that's helpful. And then Phil there is a term loan coming due beginning of next year. Can you talk about thoughts on addressing that?
Philip Mays: Yes. So you're correct. The next maturity we have is a $75 million unsecured term loan maturing in February of 2021. We're currently looking at three options to refinance it. First is the secure debt market. You're starting to see CMBS and life co-loans closing for grocery anchored centers like ours. The CMBS terms you're generally seeing are 60% to 70% loan to value, 25 to 30-year amort and rates 3.5% to 4% so not all that different from that loan that's maturing. The life codes that are closing. Generally similar terms but lower loan to value more in the kind of the 50% to 60% loan to value range. The second option we're looking at is the syndicated bank unsecured loans with the syndicated bank group. The banks currently aren't doing five year and seven year loans like they typically do but they are you're seeing them close a lot of kind of one plus ones or even occasionally one plus one plus one just kind of bridge their clients to a longer term financing and give them flexibility. So that's something else we're looking at. And thirdly we did have one bank that's in our existing bank group approach us with something that would be approximately kind of a three-year unsecured term loan that we might consider. It probably has a little higher frictional cost to do that but I think now with the whole quarter behind us and you see our collections ramping up and approaching 90% and it will engage in a lot more robust discussions on all three of these options and the other thing that's really helpful that Robin touched on is with these deferral agreements and the small amount of waive rent we gave it getting sales reporting. So that's helpful if we go to secure debt market to have a lot more tenants reporting sell and since we're on the topic of debt maturity the only other maturity in 2021 is our line of credit matures in September of 2021 and we do have a one-year extension option at our election for that. So that's kind of how we're thinking about it currently. Is that helpful? 
R.J. Milligan: Yes. That's great guys. That's all I have. 
Bruce Schanzer: Thank you.
Philip Mays: Thanks R.J. 
Operator: [Operator Instructions] Your next question comes from line of Todd Thomas with KeyBanc. Please proceed with your question. 
Todd Thomas: Hi, thanks. Good afternoon. Just first question I wanted to ask about the lease said [indiscernible] Square. I guess Northeast Heights, it seems like there would be an opportunity to monetize that lease and development up front take a lot of risk off the table and maybe raise capital for deleveraging. How are you weighing your potential options there?
Bruce Schanzer: Hi Todd it's Bruce. Thanks for asking that question. Of course we're very excited about the lease and it's certainly as you correctly note something of value today just by its very execution even before we've started the construction. It certainly isn't something that caught us by surprise been working on it for the better part of the year and so we've, as the lease started to crystallize and as we realized with a fairly high degree of certainty that it was going to come together we started exploring a whole slew of different options and we continue to do that. We're not yet at a point where we can publicly disclose what our plans are but certainly we're very excited about this lease as it represents the first phase of a significant project that we think will add a lot of value both to our shareholders and to the community and so you are correct one path would be to potentially monetize it and de-risk but there are a lot of considerations that go into how we're going to exploit this lease and also how we're going to do right by the folks that we are hoping to help within downtown ward 7. So certainly something that we've been actively exploring that. We will continue to explore now that it's now been finalized.
Todd Thomas: How does this lease deal complement the other components of the project and the build out there? Are there other components that are underway that you can you can comment on more, that are more meaningfully today? 
Bruce Schanzer: I'm going to introduce that and I'm going to let Robin who really deals in the day-to-day much more handle it although we're a small company we all spend time on these things. The Northeast Heights project it's arguably the most ambitious of the redevelopment projects that we have underway and it certainly does have some very distinct phases and from a [mixed use] perspective it has office, residential as well as retail. This is going to be the first phase. It's going to be a significant traffic driver to the area as Robin mentioned in her comments and even more significantly it's also going to be an economic engine for the neighborhood so much in the way that bringing workforce housing to the neighborhood will allow people to have a good, solid, affordable housing. And the retail as an amenity will give people access to fresh food groceries and nice retail amenities. The office is going to hopefully be a significant economic driver and an employment driver and a daytime traffic generator for the area. But why don’t I let Robin expand on that a little bit since again it's a very exciting development and certainly it's a very important part of the project.
Robin Zeigler: I mean yes I think Bruce really hit on the key points there. I mean one of the things that I will just add to that is just when you look at other areas in Washington D.C. District agencies moving to areas similar to ward 7 historically have shown just when you look at other historical trends it shows the type of economic engine that district agencies can and have provided. So we do look for the DGS headquarter move to do the same for Northeast Heights. It also can be the catalyst for other I'll call them sister agencies for lack of a better term or other ancillary uses to want to move to the project and move near to want to be near DGS. So it's a catalyst for other leasing activity that way and it is as I said the kickoff for the first phase. So it does allow us to think about what other buildings we want to kick off as part of that whether it be the [indiscernible] street building or other residential building or other things that could be affected as part of outgrowth of DGS coming to the project and that can just, those are future considerations that we could think about under and kind of weigh and marry the different capital considerations that come along with that but the notion of DGS coming to the project does allow for kind of a kickoff of a bunch of different options for the project.
Todd Thomas: Okay and then and how much ground floor retail at this building is being contemplated and Phil maybe can you comment on the availability in terms of construction financing that's available today?
Robin Zeigler: So I'll answer the first question and then Phil can answer the second. The ground floor retail at the base of the building is 17,800 square feet. We do have the ability to relocate some of our existing tenants to the DGS building. That's ultimately our decision as part of our merchandising plan or we may, may opt to bring more new retail to that building but the total is 17,800 square feet.
Philip Mays: And as far as financing options Todd because it's such good credit, there is a few options available there. Conventional construction loans are available obviously the loan to value might be or the loan to cost there, it would be like 70% or so. And those are happening for a very high credit like this. Also there is I don't know if you're familiar there is the credit term loan market. When you have very high credit, tenants like this taking up the entire building or substantially all of it. That could go even 90% of cost, but it's generally pretty much a fully amortizing loan over the life of the lease. So it will be a 20-year loan it'd be pretty much fully amortizing. The other thing to consider is if we have a JV partner on here that JV partner might bring other construction financing and options to the table that would be available to us with them as our partner. So there is multiple options here and it's all just driven by very-very strong credits in a very long lease.
Todd Thomas: Okay. And what would be the timing that you would look to nail down financing for the project? 
Philip Mays: Yes. I mean we would do that probably before the end of this year.
Todd Thomas: Okay. All right. And just the last question real quick. Phil in the press release I think it was noted the bankruptcies represented I think 600,000 of rent and recoveries. I just wanted to clarify that was for the quarter so that's $2.4 million of annual revenue from those tenants? Is that correct?
Philip Mays: See that would be, that would be the annual run rate for those tenants. There is no rent really paid in the current quarter. So it's already flushed out if you're trying to run off the current quarter but if you're looking at kind of pre-COVID numbers that is the annual run rate.
Todd Thomas: Okay. Got it. All right. Great. Thank you.
Operator: Ladies and gentlemen we have reached the end of the question-and-answer session and I would like to turn the call back to Mr. Bruce Schanzer for closing remarks.
Bruce Schanzer: Thank you all for joining us this evening. On behalf of the entire team here at Cedar we thank you for participating in our earnings conference call and wish you a healthy and peaceful conclusion to the summer.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.